Operator: Good morning ladies and gentlemen and welcome to the JetBlue Airways fourth quarter and full year 2009 earnings conference call. Today's call is being recorded. We have on the call today Dave Barger, JetBlue's CEO and Ed Barnes, JetBlue's CFO. As a reminder, this morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors and therefore investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to the company's annual and periodic reports filed with the Securities and Exchange Commission. At this time, I would like to turn the call over to Dave Barger.
David Barger : Thank you, Helda. Good morning everyone and thank you for joining us today. We’re very pleased to announce our fourth consecutive quarterly profit. This morning we reported fourth quarter net income of $11 million or earnings of $0.04 per diluted share as compared to a $58 million net loss in the fourth quarter of 2008. For the full year 2009 we reported net income of $58 million or $0.20 per diluted share. This results represents an improvement of $143 million over 2008. 2009 presented many challenges to the airline industry, including significant pressures on revenues as a result of the recession, continued tightening of the credit markets, and volatility in the price of fuel. Nevertheless, we generated positive free cash flow for the first time in JetBlue’s history and we are one of only a few US carriers to achieve a profit in all four quarters of 2009, all while delivering an experience to our customers that is unrivaled in the industry and well deserving of our fifth consecutive JD Power award for service excellence. I’d like to take this opportunity to thank our 12,000 crew members for helping us to achieve these strong, impressive results. Our 2009 results demonstrate the benefits of slower growth which we started in 2006. While we were originally scheduled to take 36 aircraft in 2009, the steps we took to sell, defer, and lease aircraft helped us to enhance our liquidity, reduce capacity and capital expenditures, and optimize our network. These actions, combined with a $450 million year-over-year decline in fuel expense resulted in our highest net income since 2003. We also achieved many operational successes throughout 2009, improving for instance, on time performance by 4.6% compared to 2008. We also continued to enhance the JetBlue experience for our customers. We launched an improved version of our customer loyalty program known as TrueBlue which we believe will broaden JetBlue’s already loyal customer base. In addition, we began coach air operations with Lufthansa, providing our customers with access to a global network and providing Lufthansa’s customers access to our growing footprint in the Americas. Due to the economic pressures that broadly impacted all industries in 2009, we faced a difficult revenue environment throughout the year. Leisure traffic remained relatively strong as our loads for the full year were essentially flat compared to 2008. But like other carriers, we experienced pressure on yields due to extensive sale activity across the industry. For 2009 our total revenues declined 3% year-over-year and unit revenues were down by about 3.5%. With relatively stable load factors, our ancillary revenue initiatives helped offset some of the fair weakness we experienced over the year. During 2009 ancillary revenues grew $60 million or 17% as compared to 2008. This increase was driven primarily by a full year of our even more leg room offering. The customer response to EML continues to surpass our expectations. In 2009, even more leg room generated over $70 million of revenue. We’re encouraged by recent trends in unit revenues, especially in light of the tough comparison to our record fourth quarter unit revenues in 2008. To put this in perspective, our fourth quarter 2009 passenger revenue per available seat mile or PRASM was up 11% compared to 2007. While we’re encouraged by recent trends, we remain cautious about 2010 as there continues to be a great deal of uncertainty about the pace of the economic recovery. We believe, however, that our strong balance sheet will enable us to successfully navigate through the uncertainty that lies ahead. Throughout 2009, we continued to strengthen our liquidity position. We ended the year with over $1 billion in unrestricted cash and short term investments. That puts our cash and short term investments at 35% of trailing 12 months revenue, which we believe is among the best in the industry and reflects our solid financial health and continued stability. We believe the ability to generate positive free cash flow is an important driver of shareholder value and we remain committed to seeking to generate positive free cash flow in 2010 and beyond. We’ve continued to work with our aircraft manufacturers to reduce our capital expenditures, a critical component of the path to positive free cash flow. Over the past three years we have deferred over 80 aircraft. In this regard, I’m pleased to announce further changes to our fleet plan which should provide for a slower and smoother aircraft delivery schedule with increased flexibility. Specifically, we have agreed with Embraer to defer delivery of 16 E-190 aircraft originally scheduled for delivery between 2012 and 2016 to 2017 through 2018. At the same time, we are accelerating delivery of four E-190s into 2010 that were previously scheduled for delivery in 2012. Specifically, two of these E-190s are scheduled to be delivered in the second quarter, one E190 in the third quarter, and the fourth in the fourth quarter of this year. With these deliveries, we expect to end 2010 with a fleet of 155 aircraft. As part of this agreement, we have also obtained financing commitments for these four Embraer deliveries. Shifting the new aircraft delivery dates allows us to spread our fleet growth out more evenly between 2010 and 2018. More details on the revised fleet plan will be provided in our investor update filed later today. Even with the addition of these four E-190s, we expect to generate positive free cash flow in 2010. We expect approximately $395 million in capital expenditures during 2010 compared to roughly $400 million in 2009. Lower Cap Ex is critical to our goal of consistently generating positive free cash flow. At the same time, we do need to continue to make strategic investments. We took delivery of 9 net aircraft in 2009 but kept our ASMs essentially flat compared to 2008. This was accomplished primarily through lower aircraft utilization which decreased 5% year-over-year. In addition, we continued to more tactically manage capacity by matching scheduled frequency to demand with day of week and gauge adjustments. We focused on strengthening our core network centered in New York, Boston, Florida, and the West Coast. Boston has been valuable for us both financially and strategically. Our footprint at this key airport has grown over the past six years from two gates and nine flights per day to eleven gates and nearly seventy flights per day. We now serve more destinations and offer more seats out of Boston than any carrier. Boston’s response to our brand from both businesses and leisure customers continues to surpass our expectations. In the summer of 2010 we plan to increase our Boston departures by approximately 30% year-over-year, driven primarily by increased frequencies to business oriented markets such as Baltimore, Charlotte, and Raleigh-Durham. JetBlue’s goal is to be the carrier of choice in Boston. We also continue to build on our success in the Caribbean and Latin America. Of the eight new cities open in 2009, six were in the Caribbean and Latin America, namely Bogota, Columbia; San Jose, Costa Rica; Montego Bay and Kingston, Jamaica; St. Lucia; and Barbados. These new markets have achieved great success in their first year of operation. Our visiting friends and relatives or VFR markets continue to complement our leisure driven markets very nicely from both the seasonal and day of week perspective. As previously announced, we have applied for government approval to serve Punta Cana which will be our fourth destination in the Dominican Republic beginning in May. By the end of 2010, we expect roughly 25% of our ASMs will be in the Caribbean- Latin America market. As a result of our expansion in Boston and the Caribbean and a return to more normal aircraft utilization, we plan to grow our ASMs between 5% and 7% in 2010 versus 2009. The full year impact of new cities we added in 2009 particularly longer haul Caribbean routes accounts for about 2 to 3 points of our expected ASM growth in 2010. While we are growing significantly in Boston and the Caribbean, the rest of our network will actually be shrinking in 2010 on a year-over-year basis. We believe this to be prudent growth. We’re targeting specific markets where ramp up is relatively quick and our brand resonates well with customers. Our ability to adjust our network quickly and the flexibility of our fleet allows us to respond quickly to favorable market opportunities and see the [inaudible] in the competitive landscape. We continue to have one of the highest aircraft utilization rates in the industry and enjoy the added flexibility of being able to adjust utilization either up or down as conditions warrant. Our long term success depends in large part on having the appropriate technology platform to support our future growth and revenue initiatives. As discussed on prior calls, we’ve been working on the implementation of a new customer service system, Sabre, over the past year. All of the system and process changes that are critical for a transition to the Sabre platform are in play as a comprehensive testing program has been completed. We plan to cut over to the new system this weekend. For a system implementation of this magnitude, we anticipate and plan for some disruption and delays. However, we believe we are well prepared and we have extensive plans in place to support the cutover, including a Verizon teleperformance call center on standby to assist with calls to 1-800-JET-BLUE and a reduced flight schedule during the cutover period. Transitioning to this new platform offers us the flexibility and robust tools to expand the products and services we offer our customers. As a result, we believe the system will help improve the overall customer experience and further enhance the JetBlue brand. When fully implemented, the Sabre system will provide pricing flexibility that will enable us to attract more business customers, broaden ancillary revenue opportunities, and facilitate airline partnerships, all core initiatives for JetBlue. With the transition to Sabre, we will make significant improvements to our website and implement a new revenue management system which we believe will strengthen our revenue generating capabilities. We’re excited about the opportunities Sabre presents. As we speak, we are focused on making sure the transition goes smoothly and similar to the seamless opening of our new terminal at JFK in 2008, we believe we will successfully accomplish this task. Before closing, I would like to briefly discuss the planned closure and rehabilitation of JFK’s [Bay] Runway 31 Left 13 Right between March 1 and June 30 of this year. This very important project will ultimately improve operations at our home base in New York. We continue to actively work with the FA and the Port Authority on various initiatives to reduce delays during the project. To help mitigate the impact of the closure, the major US carriers operating out of JFK have agreed to reduce flights and maintain a March flight schedule throughout the period. We plan to re-deploy a portion of our JFK capacity to other parts of our network during the closure and we’ll operate approximately 10% fewer departures at Kennedy compared to last year. While we anticipate some operational challenges during this period, we believe the reduced capacity should help alleviate congestion and may also have a positive impact on RASM. We face several uncertainties looking forward into 2010. It’s unclear if the initial signs of economic improvement will gain traction; however, we believe we are well positioned with a strong balance sheet, an excellent brand, and a superior product. More importantly, our outstanding crew members and unique culture continue to set us apart. While many challenges lie ahead, our profitability over the past year and our ability to generate positive free cash flow for the first time in the company’s history against the backdrop of a weak economic environment demonstrate that we are headed in the right direction. We expect 2010 will be another successful and profitable year for JetBlue. In closing, on February 11 we will celebrate our 10th anniversary of our first flight. Few airlines reach the 10 year mark and even fewer do so as a viable, healthy enterprise. JetBlue’s crew members and the exceptional service they provide to our customers every day are the reason behind our success. We believe our unique culture and direct relationship with our crew members will provide the foundation for continued success as we enter our second decade. With that, I’d like to turn the call over to Ed Barnes for a more detailed review of our financial results.
Edward A. Barnes: Thank you, Dave. Good morning everyone and thanks again for joining us today. As Dave said, we are very pleased to be one of the few US carriers to report a profit in all four quarters of 2009. The actions we have taken over the past few years to build our brand, control growth, -+ liquidity, and strengthen our financial position have clearly helped us face the challenges of a weak economy. Operating income for the fourth quarter improved $15 million year-over-year driven by a $56 million decline in fuel expense and a $21 million increase in revenues offset by a $62 million increase in non-fuel costs. Overall, our operating margin for the quarter was 7.6%. Fourth quarter unit revenues declined 4% compared to a year ago. This is a significant improvement from the 8% year-over-year decline we experienced in the third quarter. Yield during the fourth quarter was down 5% and load factor was up about 1% on a 6% more capacity. These results were generally in line with the guidance that we provided at the end of October. As we expected, demand during the Thanksgiving and Christmas holiday travel periods held up relatively well. Fares during the December holiday travel period were similar to levels to last year when as Dave said we experienced record fare levels. While the positive pricing traction during peak travel periods has been encouraging, the off peak periods remain a challenge as aggressive pricing across the airline industry has had a significant impact on yields. We continue to be encouraged by the success of our ancillary revenue initiatives. When we combine all of our ancillary revenue reported in the passenger revenue line with those in the other revenue line, total ancillary revenue for the fourth quarter was about $20 per passenger. I’d like to point out that we’ve changed our accounting approach to the classification of fuel taxes in the fourth quarter. Following industry practice, we now record these costs in the fuel expense line. Previously, these taxes were recorded in other operating expenses. Total 2009 fuel taxes were $34 million, $11 million lower than 2008. As a result, a number of our comparisons from 2008 including ex fuel CASM have been impacted and revised. Lower fuel prices helped drive a 5% decrease in our fourth quarter CASM. Fuel price per gallon decreased 24% year-over-year to $2.08 in the fourth quarter, including fuel taxes. While market prices are significantly below 2008 levels, fuel remains our most significant cost, representing approximately 30% of our total operating expenses in the fourth quarter of 2009. Fortunately, we have a young, fuel-efficient fleet. In addition, we have built a solid portfolio of fuel hedges to manage fuel price volatility. During the fourth quarter we continue to add to our fuel hedge portfolio consisting primarily of jet fuel swaps and heating oil collars in the near term and out of the money, crude call options or caps further out. For the first quarter of 2010, we have hedged approximately 64% of our anticipated jet fuel requirements using swap agreements, costless collars, and caps. For the full year, approximately 45% of our projected fuel consumption is hedged. The underlying details of these positions are more specifically described in our investor update which we filed earlier today. While the cost of fuel remains volatile, we are planning on a price of $2.18 per gallon in the first quarter and $2.26 for the full year, including the impact of hedges and taxes. These prices are based on the forward curve as of January 22 and exclude transportation into plane feeds. Excluding fuel, our fourth quarter unit cost rose by about 6% year-over-year which was in line with our guidance. The two areas which continue to see the greatest cost pressure are salaries, wages, and benefits, and maintenance expense. Salaries, wages, and benefits increased roughly 8% per ASM on a year-over-year basis driven primarily by pilot pay increases we implemented in June of last year and additional staffing levels related to the implementation of our new Sabre customer service system. We estimate that we incurred one-time costs of approximately $4 million in connection with Sabre related staffing during the fourth quarter. Our maintenance expense per ASM increased 20% year-over-year. This is primarily attributable to the gradual aging of our fleet which drove an increase in the number of heavy maintenance checks. Other operating expenses increased 15% per ASM due in part to increased costs related to the implementation of the customer service system. We estimate we incurred one-time costs of approximately $2 million related to Sabre personnel costs during the quarter. In addition, we recorded an $8 million gain in other operating expenses related to aircraft sales during the fourth quarter of 2008, negatively impacting our year-over-year comparisons. Moving below the line, interest expense decreased 21% year-over-year or $11 million due primarily to approximately $9 million of interest expense which was recognized during the fourth quarter of 2008 related to the early conversion of our 5.5% convertible notes. At the same time, interest income and other increased by $49 million due to the $53 million valuation adjustment related to our auction rate securities that was recorded in 2008. We have continued to take action to improve our liquidity. We ended the year with unrestricted cash and short term investments of $1.1 billion. Our yearend cash balance includes the $56 million loan from UBS which is collateralized by $85 million of auction rate securities and included in short term investments. As you may recall, UBS is required to repurchase these securities at par value in June of this year. We will repay the UBS loan with proceeds from the auction rate securities sale. Since year end, $12 million of these auction rate securities have been redeemed at par, the proceeds of which have been used to reduce the UBS loan to $44 million. As a result of our strong cash balance and other financial metrics, our largest credit card processor reduced the amount of our [whole] back to zero. During the fourth quarter we repaid $50 million in debt and capital leases. While we have several obligations coming due in 2010 including the assumed put of the remaining balance of our 3.75% convertible bonds in March, about $156 million, we are very comfortable with our current cash position. Our scheduled principal payments from debt and capital leases are expected to be about $195 million in the first quarter and $390 million for the full year. This includes the assumed $156 million convert repayment, the $56 million UBS loan, and approximately $170 million of regularly scheduled aircraft debt repayments. Turning to the fleet, JetBlue ended the year with 151 aircraft. As Dave mentioned, we have revised our E-190 delivery schedule. These revisions substantially reduce our aircraft commitments between 2012 and 2015, helping smooth our future debt and pre-delivery deposit requirements. I’m also pleased to report that we have committed financing in place for the four E-190s we are taking this year. With regard to Cap Ex, we spent approximately $45 million in non-aircraft Cap Ex during the fourth quarter, of which $9 million was related to the implementation of Sabre. We estimate capital expenditures of about $395 million in 2010 of which $250 million relates to aircraft and $145 million to non-aircraft related expenditures. Non-aircraft Cap Ex includes $95 million related to live TV and approximately $15 million related to the implementation of Sabre and future enhancements. With manageable debt maturities and capital commitments in the upcoming year, we believe JetBlue is positioned to generate positive free cash flow and maintain strong liquidity in 2010. We expect to end the year with cash as a percentage of trailing 12 months revenue of at least 25%. While we are comfortable with the current cash position, we are committed to continued vigilance in driving additional balance sheet improvements going forward. As we look into 2010 we are encouraged by signs of the economy stabilizing. PRASM declines have leveled off and we are seeing signs of improvement from what we were experiencing earlier in 2009. In addition, sale activity appears to have tapered off a bit relative to last year. While we are encouraged by recent booking trends, we remain cautious about air travel demand in 2010 as it will depend in large part on the pace of the economic recovery. January is traditionally a travel period for us as holiday traffic subsides. In addition, we face difficult comparisons versus last January when PRASM increased 15% year-over-year. We currently expect January PRASM to be down about 2% year-over-year. The year-over-year comparison should get a bit easier in February. While we continue to face yield pressures during off peak travel periods, we are seeing positive yield trends for the peak President’s day and spring break periods in March. We expect our RASM and PRASM will both be in the range of down 1% to up 2% year-over-year in the first quarter. Our visibility is limited beyond March. As we move throughout the year, we expect a benefit from the continued growth and maturation of the new markets we started in prior periods. In addition, we expect to begin to see the revenue benefits of the additional functionality that will be enabled through Sabre later this year. In 2010, we expect our ancillary revenues to increase approximately 10% year-over-year. While it is difficult to make full year revenue projections given the uncertain economic environment, we currently expect full year RASM to be between 5% and 8% year-over-year. We continue to work hard on the cost side while at the same time making prudent investments in our business. In 2010 we expect continued cost pressures on salaries, wages, and benefits as a result of the impact of the pilot wage increases we implemented in June of last year. These cost pressures are expected to be heavily weighted in the first half of the year as we anticipate that modifications to work rules will increase efficiencies beginning in the third quarter. Our transition to Sabre will continue to impact salaries, wages, and benefits and other operating expenses during the first quarter. We anticipate the total one time impact on operating expenses to be approximately $10 million in the first quarter of which $3 million will be recorded in salaries, wages, and benefits and the remainder captured in other operating expenses. We also expect our maintenance cost will continue to increase in 2010 as our fleet ages and more aircraft come off warranty. We also expect an increase in the number of heavy maintenance checks on our E-190 fleet. We expect ex fuel CASM in the first quarter to be up 6% to 8% and CASM all end to increase 7% to 9%. For the full year, we project CASM will increase 5% to 7% and ex fuel CASM will increase 3% to 5%. We believe these cost increases will be offset by an increase in revenue beginning in the second quarter. That said, we will continue to focus on efficiency and work to contain costs. Before closing, I’d like to take care of a few housekeeping items. The transition to Sabre will impact almost every aspect of our business, including our revenue accounting and financial reporting. While managing the change with proactive planning and caution, and therefore our extending our financial reporting cycle during the initial months of the transition. As a result, we expect to delay the release of our February and March traffic results by several days, and we plan to report our first quarter earnings during the last week of April, about a week later than last year. Finally, we expect a brief window of time on the day of cut over when our website will be unavailable. We thank you for your patience as we work to implement this exciting change. We are also making a few minor changes to our investor update, which will be filed later today, to better conform with industry practices. We have eliminated operating margin guidance and replaced pre-tax margin with non-operating expense guidance. In addition, we have a eliminated stock compensation expense and changed the way we provide estimated share count. To conclude, we are pleased with our operating results which continue to be among the best in the industry and demonstrate our continued ability to withstand the impact of a weak economy. Throughout 2009, we remained focused on the future strength and flexibility of our airline. As we begin 2010, we continue to look for opportunities to build our financial flexibility and lay the foundation for sustainable growth. With that, we’re happy to take your questions.
Operator:  (Operator Instructions) Your first question comes from Michael Linenberg - Bank of America.
Michael Linenberg - Bank of America: You indicated that the hold back went to zero. What was the hold back before and then what was the trigger? I did see you got a couple upgrades from the various rating agencies.
Edward A. Barnes: The hold back prior to that was $30 million and I think the primary trigger was really I think the current cash position of $1.1 billion as well as the sustainable growth and free cash flow model that we’re operating on today.
Michael Linenberg - Bank of America: As we look at your fleet plan, we saw the changes with the 190s and that definitely smooths that out. When I look out over the next couple years, it looks like you do have a decent number of A-320s. I think it may be 8 airplanes in 2011 and maybe 13 in 2012. That’s a decent number. Is the thinking, would you take a similar view to the bigger airplanes as you look out to 2011 and 2012 and beyond?
David Barger : I think it’s safe to say that we’re very committed to free cash flow. We realize there’s a lot of airplanes coming at us in these later years and I think you’ve seen us in the past be very flexible with our fleet planning and working with the manufacturers to accomplish that, so I think that’s probably what we’ll do on a forward basis.
Operator: Your next question comes from Hunter Keay - Stifel Nicolaus & Company, Inc.
Hunter Keay - Stifel Nicolaus & Company, Inc.: I feel like I’m getting some sort of mixed signals from you in the prepared remarks. You talked a lot about uncertainty in the economic recovery but you’re pulling forward aircraft. You’re pulling forward the 190s, you’re growing your ASMs by about 7%, with a lot of that down to the Caribbean. Delta referenced specifically some weakness in the Caribbean and Central America because of excess capacity as they framed it. Why should we not be concerned with your ability to meet your PRASM guidance because it looks like you’re baking in a pretty solid second and third quarter period following the 1Q flattish guidance.
Edward A. Barnes: A couple thoughts. First of all I think embedded in the prepared comments are really some significant change, investments that are going on. I think specific to JetBlue versus the rest of the airline industry, one is the conversion to Sabre platform, that is a very significant change. We’re obviously being very guarded regarding the conversion even though the planning has gone quite well so there’s additional cost associated with that. There’s also from the standpoint of revenue opportunities that we believe are back end loaded. We won’t see that day one with the conversion; it takes a period of time. So right behind it is the runway construction at JFK as well, our home base of operations. I think the theme is a tale of two semesters, the first six months of this year continued significant investment right in our back yard or in our airline and then reaping the benefits of that into the second half of the year. I think from the standpoint of your comments, uncertainty, let’s face it, we’re fresh out of a recession and I think that we want to be pragmatic about how we’re looking at the world. All that said, when I look at sequentially PRASM minus 8% year-over-year, Q3 minus 4% year-over-year, Q4, and then our guidance that we issued today for the first quarter and for the year. We’re fairly optimistic that maybe there is going to be some stickiness to what we’re seeing with the rebound. But that’s just a comment that I would share regarding uncertainty. We’re fresh out of a recession and probably the most significant recession that we’ve been living in, in our lifetime. The last thought, ASM growth, I can’t speak for other carriers, but our continued investment in Boston, our continued investment in the Caribbean and Latin America, is very much right in alignment with, as Ed mentioned, free cash flow and sustainable growth, so it’s been very positive for JetBlue. The thing that I would add to that, I think a lot of what you’re seeing in the PRASM/RASM, especially later in the year, is maturing markets, especially in the Caribbean, where we added a lot of capacity last year, a lot of connecting the dots out of Boston to markets that we already serve and I think a lot of the utilization as you’re seeing it or a lot of the capacity as you’re seeing it is just better utilization of existing assets, both on the aircraft side as well as crew members. So I think it’s very prudent to add in that additional capacity.
Hunter Keay - Stifel Nicolaus & Company, Inc.: Obviously this ties back to Sabre as well. You mentioned specifically in the release, I think you phrased it product and revenue initiatives. I’d love a little bit more color on that, specifically differentiating between what’s product and what’s revenue, and in the product bucket, is there anything that we should maybe assume from a potential [first back fee] once Sabre is implemented?
Edward A. Barnes: I wouldn’t read into there’s an overnight change into a [first back fee]. We know that’s something in our arsenal if we opt to go that way. I think really with Sabre, first and foremost, it’s scalability in our network as we grow the airline. That was first and foremost the reason for the change. The e-ticketing platform, that does allow us to really start to maximize the opportunities, whether it’s coach air, [inter line] agreements, and with our basic Kennedy, focus areas like Boston, Orlando, and others, very, very positive. I think it’s fair to say that the ancillary revenues streams through the booking flow and the ability to optimize things like package travel. We’re really excited about the capabilities Sabre gives us as we look into 2010 and beyond. Maybe just a comment as well, I think again that the planning that’s going into this conversion, the training, the things like the Verizon call center as a backup, our business partner, things such as again planning the schedule accordingly, load factors accordingly for this weekend, a slower time frame as well, I think bodes very well for again, our confidence to make the conversion, it’s difficult, but in a very professional manner.
Operator: Your next question comes from Duane Pfennigwerth - Raymond James.
Duane Pfennigwerth - Raymond James: Just with regard to your RASM/PRASM guidance and ancillary guidance of 10%, what does that assume in terms of new products on the ancillary front, and how willing would you be to sort of guide to new products ahead of a systems migration?
Edward A. Barnes: The ancillary revenue is so much of what we saw, was really Even More Legroom, and we’re in a pricing point now, $10, $25, $40 in terms of stage length. We saw the full year’s worth of performance. That doesn’t change as we make the migration into Sabre. I think Sabre again, and not that I’m going to shed any color in terms of some of the additional products that we’re looking at or maybe enhancements. Let’s make sure we get through the conversion professionally as opposed to trying to advertise some of our changes that we’re looking at, put it into place later this year. The commercial team has really made an awful lot of change in terms of the network and things like Even More Legroom, and additional ancillary revenues. I think as you take a look at our growth over the course of the year with ancillary revenues, I think we’re going to be well placed. Probably later in this year you’ll hear much more about some of the ideas that we’ve been working on as we put them into reality with ancillary revenues.
Duane Pfennigwerth - Raymond James: Just to follow up, does your guidance of 10% ancillary growth consider new products you may roll out in the second half?
Edward A. Barnes: I think the 10% has a lot to do with just the year-over-year increase in existing programs. I would say the only thing that we’re working on right now that we really haven’t launched is on board food sales. That’s not going to have a significant impact on ancillary, so I think as we implement Sabre and as we have opportunities to maybe put in additional programs, that may be a little upside potential.
Duane Pfennigwerth - Raymond James: Thank you. I think Jim has a question.
James Parker - Raymond James: I believe that you’ve gone on record saying the industry has too much capacity in the last few months so JetBlue is increasing capacity 5% to 7% in 2010. I’m curious to these 190s that you’re going to take delivery. Was that a trade off to get the deferrals in latter years?
David Barger : Specific to the Embraers and I won’t go into the discussions that we’ve had with Embraer. What we really wanted to do was just flatten growth. The earlier question about the AirBus delivery stream, the skyline, Embraers with the 190s. We had an awful lot of airplanes that were bunched up that are now much smoother if you will over the course of 2018. I think that JetBlue is also an airline that’s played an awful lot of defense going back to 2006 and rightly so. We’ve really trimmed our growth rate significantly. Last year, for example, 9 aircraft versus 36. I am of the opinion that the industry has too much capacity and I think that some airlines, including JetBlue, have earned the right to grow and I think it’s things like, as we talk about, again, not to disclose a return on invested capital metric, free cash flow, things like our operating margin and those airplanes earning their way under the network. You bet we’re going to take advantage of that. When airlines all of the sudden have been committed to areas like Boston for decades and crew bases are closing and our brand is resonating, you bet we’re going to take advantage of that. It’s the same down in the Caribbean, and I’ll close with – we had a team visiting the Commonwealth of Puerto Rico earlier this year and I don’t mean just an in and out trip, but on an island and in the area for a couple of days and there’s a lot of opportunity that worked very well with JetBlue for the foreseeable future down there. So that’s what’s really driving our footprint, our growth, as we look at 2010.
Edward A. Barnes: I would add to that, that those aircraft are coming in the second, third, and fourth quarters of this year and they’re not a significant factor in our capacity growth. The capacity growth I think has more to do with again going back to the connecting the dots plans that we have in Boston as well as in the Caribbean
James Parker - Raymond James: I have your longer term growth rate going forward as the economy is growing again in the next several years, what’s the pace of growth for JetBlue?
David Barger : I think that at your conference in other settings, I’ve been on record as saying that I think that this is a growth story. We have to earn our right to grow. Again, focusing on free cash flow, you’ve heard it several times in the prepared comments and even in the commentary here, but this allows us to grow and I think as we look at the future, I think that this is an airline that can grow 5+% per year and certain years we’re going to be afforded the opportunity to maybe grow more than that but the flexibility with our crew members, with our order book, also allows us to dial it down like we did last year. We were flat last year and I think again it’s one of the best performances this company has had in the last 6+ years. But this is a growth company and we’re running the business that way.
Operator: Your next question comes from William Greene - Morgan Stanley.
William Greene - Morgan Stanley: Just one follow up on a capacity and unit cost question. The growth in unit cost you sort of outlined what some of the drivers are there. How much of the capacity growth is with an eye on that, trying to manage that, because obviously flat capacity is a bit of a challenge, keeping costs flat in that world.
David Barger : I really think that the capacity increase had more to do with opportunities that we see in our network and more to do with our long term network plans so it didn’t really have anything to do with cost guidance.
William Greene - Morgan Stanley: If we look at your headcount, you’ve sort of been the 70 headcount FTs per aircraft for some time. Some of your low cost peers are quite a bit lower than that. Is there an opportunity there or is it just that they’ve outsourced more and you’re kind of about where it’s going to be as you grow?
David Barger : I think it’s partially an outsourcing story but I think it’s also that JetBlue does need to look for additional ways to become more efficient and certainly as we look for ways to automate things or as we connect the dots in our network and make our existing assets more efficient, I think we’ll have the opportunity to do that.
William Greene - Morgan Stanley: Do you want to hazard a guess how low that could go?
David Barger : Not at the moment.
William Greene - Morgan Stanley: Lastly, just on the JFK runway closure, is it possible that could have a net P&L positive effect on you if capacity there is reduced?
Edward A. Barnes: I don’t look at Kennedy, that’s possible depending on what plays out with the competitive landscape, but I think what we’re seeing in the [EOAG] for March is going to continue through the summer time frame. The US flags are certainly going to take advantage of moving into the peak traffic period. I think how we look it it though is – and again, planning for this months ahead of time, the re-deployment of these airplanes, Boston is up 30 on a year-over-year basis as we move into the summer time frame. The ability to build a pattern of service for the business customer as well as the discretionary customer. I think we’re pretty optimistic about how that can play out. From the standpoint of slots at JFK and use it or lose it, and we’re hopeful that will be suspended thorough the end of the year, even after the runway rehabilitation project closes out on June 30. But I think there’s no secret, some of the volume that airlines are doing in the New York metropolitan area isn’t necessarily in their best interest because they’re holding slots at places like Newark and LaGuardia and at Kennedy as well. Potentially, that could be the case, but we’re certainly not… It would be nice to see instead of what we’re planning to see.
William Greene - Morgan Stanley: Is there any reason to think the new Boston capacity or whatnot could [spool] up profitability-wise faster or should it just follow normal curves?
David Barger : I tell you, we’re so pleased with what we’re seeing in Boston so a normal curve that we’re seeing in Boston is very pleasant to us and it could exceed that. Our growth up there from a JetBlue perspective, our partnership with Lufthansa, Aer Lingus, Cape Air, the relationships that we have in the community. It’s very heartening for us. Again, we’re not hoping for something that hasn’t materialized in the past. What is the maturation curve that we’ve been seeing in markets like Boston, Pittsburgh, O’Hare, adding service and planning accordingly. Boston’s been very important to us. In fact, the ASMs are now over 20% across our network.
Operator: Your next question comes from Jamie Baker - J.P. Morgan.
Jamie Baker - J.P. Morgan: Forgive my ignorance, but have there been any seamless transitions to Sabre in the last few years? Obviously West Jet’s cutover went poorly and I think there were a couple of other examples. I’m impressed with the contingency planning, I’m just trying to assess if disruption is a foregone conclusion at this point.
David Barger : I love your intro comment, forgive the ignorance. Your point is very well taken. Transitions with any type of customer service system are challenging and so we’ve planned for some level of disruption, some level of delay, but I think the planning that we’ve seen, according to you business partners with Sabre, is they haven’t seen this in the past. The partnership that we’ve had with other carriers. By the way, I called out to West Jet and Sean and his team, they’ve been very helpful to our team in terms of lessons learned. The training that’s been going on for months across our airline, the recurrent training, because the people who went through it six months ago. The preparation for it. I think this weekend, taking down the schedule some level intentionally and load factors intentionally, and I think internally we’re really managing expectations that it takes a period of time before people are proficient more quickly in the airport. It takes a little bit longer in the reservations environment, but I think the belts and suspenders that have been put into place, similar to terminal 5, when we also had questions regarding our ability to basically plug it in, I’m not going to tell you we’re overly confident but I think there’s some really good planning that’s gone into place with this conversion.
Jamie Baker - J.P. Morgan: Is it possible to even switch back to Navicare if things don’t get off to a smooth start and secondly, what level of RASM weakness, if any, are related to the cut over is captured by the Q1 RASM forecast? I guess put it differently, if you were sticking with the Navicare, would your Q1 RASM guidance be the same as it is?
David Barger : The world is binary. Once you make the decision to convert and over the course of a 24 hour to 36 hour time frame you make the conversion, you’re running on Sabre, and that’s how we’re looking at the world. There’s not an opportunity to run simultaneous systems or to fall back. There are trigger points over the course of the conversion period but it’s very limited over that 24 hour period. Right now, by the way, we’re agreeing. Looking at the weather that’s moving across the Mid-Atlantic, our preparation across the airline, I think it’s fair to say that as we look at the RASM guidance that we’ve given into the first quarter, into the year, it’s probably helpful to take a look at the full year guidance relative to what we think we can continue to see, not just with our core network, but also with optimizing some of the opportunities that a new CSS system gives us. So I think it’s less relevant to look at that first quarter conversion as opposed to maybe looking at it from a full year perspective.
Operator: Your next question comes from Will Randow – Citi.
Will Randow - Citi: A question on your RASM guidance, I know it’s been asked a couple different ways, but what type of improvements assumed relative to kind of run rates that hit your current guidance, and then thinking about it, how does that compare to your industry expectations for RASM?
David Barger : I’m certainly seeing industry expectations at a number that looks like PRASM at 10% across the industry, and I think that we are, as Ed alluded to, we had 8 new markets last year, we’re looking for maturation of those markets and as we build capacity, build frequencies into markets like Boston and we’ve announced Punta Cana, again, we’re not looking to move off the maturation curve in any significant way there, so probably the best way I can answer is again, we’re fairly optimistic with what we’re seeing as we move here into 2010 from a PRASM perspective and RASM perspective and at the same time, we want to be prudent about it. There’s a lot of change going on within JetBlue that I don’t think is impacting other airlines such as the CSS conversion and also the runway project and I think they’ll both go very well but all that said, this is a somewhat [inaudible] semesters at JetBlue if you take a look at first quarter and again, back to Jamie’s question, I would encourage everybody to take a look at our full year because the second half of the year is so different than the first half of the year because of these two projects.
Will Randow - Citi: What is some [inaudible] for unit cost in terms of growth related to the JFK runway closure, the Sabre implementation, and some of these other one-off issues and how does that go away when we think about 2011?
David Barger : We did have some one tine costs as we indicated earlier in the first quarter related to Sabre, that was about $10 million in costs that we won’t incur in future periods. On the runway closure, we have some assumptions and maybe a little bit more block time related to the runway closure because we want to make sure that we protect our brand and our culture as they move through that process, but I wouldn’t say that is overly significant.
Operator: Your next question comes from Gary Chase - Barclays Capital.
Gary Chase - Barclays Capital: You said something about Sabre changing revenue accounting. I obviously could understand how that would delay but your release, but it’s not going to change sort of financial accounting for revenue? I just want to be crystal clear on that.
David Barger : No, it’s not changing the way we account for anything.
Gary Chase - Barclays Capital: Just kind of going back to this issue that I know everybody’s kind of trying to tease out a little bit on, can you maybe walk us through, are there fundamental changes that you’re making to the network that sort of changed the seasonality where we ought to think differently about how the first half is going to compare to the first half last year versus the second half, or is most of what you’re describing, and I know you’re trying to point people to look at the full year, is most of the acceleration that I think we’re all believing is there, is that a function of initiative, code sharing, the capabilities that you think Sabre is going to bring on?
Edward A. Barnes: I think that fundamental changes to the network would not be how I would think about it, how we’re looking at 2010 over 2009, with a couple of exceptions. When you’re growing in a focus place like Boston 30%, year-over-year, that’s significant. When those flights are into markets like Chicago, we’ve been in Pittsburgh, we opened Baltimore, Raleigh, Charlotte, clearly those are geared to business markets, business frequencies, and I think they’ll benefit our core customer base heretofore in terms of the leisure base. That is a way to think a little bit differently about the network. Kennedy is really underneath, a cap if you will, from the standpoint of the runway construction, and we’ve intentionally taken out approximately 10% of the flying up and through the runway construction period, but no changes there. As I look at what we’re doing down in Orlando, down in Ft. Lauderdale, down into Latin America, and out on the west coast, two thoughts, one is we’re continuing to focus into the Caribbean and Latin Americas, no fundamental change in terms of how we’re building that part of our network. As we mentioned in the prepared comments, we believe we’ll be at approximately 25% of our ASMs in that part of the world. Here’s what’s different. Barbados is now into year two. St. Lucia is into year two. Kingston is into year two. Montego Bay and the new frequencies into year two. We’re starting to see Bogota into year two. San Jose, Costa Rica. So the maturation that’s taking place in that part of the world, and there’s certainly seasonality with it. The last comment that I would offer is, and people would say on the west coast and as we take a look at our network and the competitive landscape and carriers that are offering $99 TransCon fares, that certainly is something that impacts us, but it’s core to us, and we’re going to keep flying to places like San Francisco and to LAX and adding frequency into those markets as well. Feel free to follow up on this, because I wouldn’t want you to think that there’s a fundamental change to what we’re doing with the network. It’s more building on our strength and the maturation that we’re seeing, and in some of these places, a very quick maturation such as down in the Caribbean and Latin America.
Gary Chase - Barclays Capital: Are you suggesting that off peak, the trans cons have really… Is there something about the way those are behaving in the early part of the year that we should be thinking factors into the guidance?
David Barger : No, I just think that when people take a look at JetBlue and the comparisons that take place to other carriers, that it’s important to also take a look, I know you guys do, but the competitive landscape and as we move throughout the year, the trans cons are still 30% of our ASMs, a little bit less than that seasonally in the first quarter. I wouldn’t want you to draw a conclusion that there’s anything different than usual seasonality going on in the trans con but we do overlap with 14% of our seats are into Virgin America markets and that’s a little bit different than I think many other carriers out there.
Gary Chase - Barclays Capital: On this topic of reallocating the seats around, and I know you’ve talked about how that might be “RASM positive.” I could clearly see how that would be RASM positive in JFK but based on the capacity guidance, it looks like the seats are going to be moving elsewhere in the network. When you think about that stuff coming out of JFK and going elsewhere, is it at a system level RASM positive? Because I would think not.
David Barger : I think it could be but the way we’re looking at it more is it’s more from a flat perspective. It could. Kennedy, this 120 day relaxation of the slot rule by the carriers operating out of there, we have every intention of flying those slots when the runways opened up again and building our presence at JFK. So I think that interestingly enough though, it does afford us the benefit to really take advantage of some seismic changes that are taking place in places like Boston. There are airlines that have been there for decades and I mentioned earlier that when crew bases are being ripped out, there’s still an awful lot of flying opportunity in places like Boston, additional gates, additional flying. So it potentially could but we’re not counting on it from the standpoint of a net net. It’s a RASM improvement at a system level.
Operator: Your next question comes from Helane Becker - Jesup & Lamont Securities Corporation.
Helane Becker - Jesup & Lamont Securities Corporation: There’s no way or is there any way to run the website simultaneously while you’re doing the cut off or it does have to just be shut down?
David Barger : It’s binary. So we’ve been out there communicating along those lines. There’s a migration path that takes places really with customer records from one system to the next and then we come up with the new system and so it’s not like you can run two systems simultaneously. You have to migrate the data.
Helane Becker - Jesup & Lamont Securities Corporation: I noticed the discussion about moving headquarters to Orlando. Can you just talk a little bit about that or is that just… I was surprised to see that.
David Barger : Potentially we have crew members hopefully listening to this as well. We are speaking to you from our Forest Hills support center and this lease expires in 2012 and Darien, Connecticut. We have the same dynamic and approximately between 800 and 1000 crew members on these two campuses. We have an exact number but it depends on some other positions that are already being reallocated in the airline. At the end of the first quarter we’ll make a decision whether we remain in New York, whether we relocate. We’ve been very, very pleased with interest from New York officials, from Orlando officials. By the way, we have a large operation in Orlando with our training center. At the same time, we have a lot of history here and its core to the brand from the standpoint of our commitment to our operational center here at Kennedy, so… End of the first quarter, we’ll make a decision and I think we’re placed real well to really seize upon the power of the brand. Again, in either location, but another 60 days out before we decide.
Helane Becker - Jesup & Lamont Securities Corporation: Given the expansion that’s going on in Boston, is that a consideration?
Edward A. Barnes: No, we had a process over the last half year and it’s down to New York and Orlando. Boston, we’re going to keep adding gates and frequencies and support space such as hangars and take care of our crew members and customers up there.
Operator: Your next question comes from Daniel Mckenzie - Next Generation Equity Research.
Daniel Mckenzie - Next Generation Equity Research: Just following up on some of your network commentary strategy with respect to Latin America, I wonder if I can just give you a little friendly push back here. I guess what I’m getting at, one the one hand, Bogota is not a typical leisure destination. JetBlue’s pricing in the market has been pretty stagnant over the past year, but on the other, I see JetBlue has adjusted its schedule from an afternoon departure from Orlando to an evening departure which presumably attracts more business travelers, don’t want to cut their day in half. Just for the record, I’ve used the service from Orlando, so from a personal standpoint, I hope you don’t discontinue it, but from what I can tell, Bogota doesn’t appear good, so I’m wondering how committed you are to Latin America in general. I know you’ve made some positive commentary but please feel free to disagree with some of my conclusions here.
David Barger : A couple thoughts. We’re very pleased with how Bogota is ramping up and we also, as we look at how do you feed traffic into Orlando to connect into Bogota, that’s one issue that we look at. We also look at when we arrive in Bogota because there’s many connecting opportunities on South American carriers and to pick the cities, whether it’s [Calle, Cartahania, Mideen], what have you, or over into Venezuela, and it’s kind of interesting what happens there late at night. But we’re very pleased with how Bogota is building and it would be interesting to note that it’s the origin traffic to your point is as we expected, it’s heavily Bogota. Certainly people that are heading into Orlando and the attractions, but it’s the business customer who has a choice as well into our network, whether it’s point to point Orlando or into our network. So we’re pleased with Bogota and again, within the company we talk about being Americas’ favorite airline, that’s s apostrophe, North America, Central America, South America, and Latin America. Interesting with what you’re seeing with the pricing but again we’re very, very pleased with how it’s maturing.
Operator: Your next question comes from Stephen O'Hara - Sidoti & Company.
Stephen O'Hara - Sidoti & Company: I was wondering if you could just talk about your tax rate a little bit. I apologize if you’ve kind of gone over it. It looks like it’s about 45% in the quarter. I know it’s swung around a lot this year and I was just wondering if you could provide some guidance for next year, what we might be able to kind of model in.
David Barger : That information will be in the investor update that we file later today.
Stephen O'Hara - Sidoti & Company: In terms of the check bag fees, there’s been a couple of questions here this morning. Southwest has been pretty vocal on it. Can you confirm or deny whether you’ve seen similar movement in passenger preferences to you guys versus other carriers?
David Barger : Anecdotally, yes, we have. We hear from people and people, the ASMs for today, snow birds flying down to Florida, north of 35% of our ASMs this time of year, you bet. People are choosing our brand for lots of different reasons but including the fact that the first bag is free. Anecdotally and potentially more, we’re certainly seeing that and hearing that from our customer base.
Operator: We have no further questions. This concludes our session with investors and analysts. With that, we would like to turn it over to Dave Barger for closing remarks.
David Barger : Thank you, Helda. Just very quickly, let me close by once again saying thank you for joining us all today on the telephone. Again, I’d like to once again thank our crew members for their excellent contributions in driving profitability in 2009 and even more importantly, in celebration in advance of our 10 year anniversary moving JetBlue into the second decade. So thanks for joining us today, we’ll join you next quarter.
Operator: Thank you ladies and gentlemen, we thank you for participating. You may now disconnect.